Operator: Good morning and welcome to the Laclede Group First Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Dudley, Managing Director, Investor Relations. Please go ahead.
Scott Dudley: Well, thank you and good morning. Welcome to our earnings conference call for the first quarter of fiscal 2016. We issued our earnings news release this morning and are available on our website at thelacledegroup.com under the News Releases tab. Today’s call is scheduled for about an hour and will include a discussion of our results and a Q&A session at the end. And the operator will refresh the instructions on how you can get into the queue for question. Presenting on the call today are Suzanne Sitherwood, President and CEO; and Steve Rasche, Executive Vice President and CFO. Also in the room with us is, Steve Lindsey, Executive Vice President and Chief Operating Officer of Distribution Operations. Before we begin, let me cover our Safe Harbor statement and our use of non-GAAP measures. Today’s earnings conference call, including responses during the Q&A session, may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our forward-looking statements speak only as of today and we assume no duty to update them. Although our forward-looking statements are based on reasonable assumptions, various uncertainties and risk factors may cause future performance or results to be different than those anticipated. A description of the uncertainties and risk factors can be found in our Form 10-K for the fiscal year ended September 30 and our Form 10-Q for our fiscal 2016 first quarter ended December 31 which will be filed later today. In our comments, we will be discussing financial results in terms of net economic earnings and operating margin, which are non-GAAP measures used by management when evaluating performance. Net economic earnings exclude from net income, the after-tax impacts of fair value accounting and timing adjustments associated with energy-related transactions, as well as the impacts related to acquisition, divestiture and restructuring activities, including costs related to the acquisition and integration of Missouri Gas Energy and Alabama Gas Corporation. Operating margin adjusts operating income to include only those costs that are directly passed on to customers and collected through revenues, which are the wholesale cost of natural gas and propane and gross receipts taxes. A full explanation of the adjustments and a reconciliation of these non-GAAP measures to their GAAP counterparts are contained in the news release we issued this morning. So with that, I will turn the call now over to Suzanne.
Suzanne Sitherwood: Thank you, Scott and welcome everyone. As we announced in our earnings release earlier this morning, Laclede is off to a solid start in fiscal 2016 as we continued to achieve our strategic objective. And while achieving a high level of customer service. At our annual report for 2015 we discussed our strong performance and described the journey we have been on to transform our company. While our energy factor is transitioning itself in response unprecedented changes in the global energy market, we are responding by keeping our promise to our customers and to our shareholders. And we are responding with the transformation of our own. Over the last several years we have tripled our enterprise value, expanded our geographical footprint and added nearly one million customers to accretive transforming of acquisition. And we continue to pursue business opportunities that are ground in our growth strategy. Over the last few years we've re-imagined the Laclede Group to better reflect the company we are becoming because as the company evolve so too must our story. We are proud of our commitment to deliver safe and reliable service everyday. But what matters to us more the people we serve, that are the real hard of what we do. Every time we talk with an investor, work with a customer or reach out to new community. We want to tell the story of how we challenge ourselves to enrich the life of those who serve. We are continuing on our transformational journey in 2016. Every step we've taken on this journey has in part of well articulated growth strategy. Growing our Gas Utility business organically including the investment and infrastructure upgrades, increasing the scale of our business through acquiring and effectively integrating other gas utilities. Modernizing our gas asset and investing in innovation in emerging markets that they current focus on CNG filling solution. As you know, we've been studying and analyzing how best to provide a better, more diverse portfolio of gas supply asset. Our goal has been to improve reliability and resiliency of our transportation and storage portfolio while also providing diverse access to gas supplies for multiple basins in order to deliver at best possible cost. Given the abundance and low cost to shale gas and the shift in pipeline place, we believe that there are opportunities across our footprint. Our initial focus has been to modernize our gas supply portfolio into Eastern Missouri service territory. At the same time, we want to take advantage of the shift in gas flow heading west out of Marcellus and Utica basin. I am pleased to report that we have designed the pipeline project that will provide compelling benefit to our customers while achieving this goal. As you can see on the map shown slide 7 this north and south pipeline shown in red will connect to the Rockies Express or REX pipeline which traverses the Midwest between Rockies in the northeast. As you may know this pipeline more recently has become a key component of takeaway capacity from the Marcellus and Utica. It would connect on south end with the Laclede gas service territory. Our current plan is to construct an approximately 60 miles 24 inch pipeline off of REX to Western Illinois. This lateral would likely have a capacity of 400 mmcf per day and we expect the Laclede gas to be south eastern shipper. While we are not in a position to discuss our investment in detail including the ownership structure for the project, I can say that we expect the total project cost to be in the range of $172 million to $200 million. As it is typical of pipeline build of this scope, we expect it to be in service 30 to 36 months from the time we formally announce the project which will coincide with the commencement of the open season. The benefit to the project to our customer is appalling; it allows us to achieve our goals of improved physical resiliency, reliability and diversity of supply. While accessing lower cost shale gas. Based on our analysis we are confident that adding this pipeline to our portfolio is the right choice both for our customers and our shareholders. And we will continue to explore similar asset modernization opportunities across our footprint. With that let me cover a few highlights for the quarter before turning the call over to Steve Rasche to cover financial. We are indeed off to a solid start in 2016. We are continuing to transform our company through achieving our strategic growth objective. We've been squarely focused on growing our gas utilities including the organic growth initiative and our efforts are continuing to deliver result. We are seeing customer growth so far in fiscal 2016 up close to 1%. Our work to add customers to wide extension and reinforcement of our systems and customer conversion is also bearing fruit. And builds on a momentum from last year. And with Laclede energy resources our gas marketing business have been focused on finding ways to create value in the midst of a market that are still characterized by an abundance of supply thus low price. The integration of Alagasco remains on track with our plan. As we realign our new larger organization and continue to implement our shared services model across the company. Our Spire Natural Gas Fueling Solutions business is pursuing additional opportunities. And keeping with their focus on return to base fleet and tractor trailer operation. Given fuel market dynamics between CNG and diesel, lead time have lengthened but Spire is maintaining its effort to help develop the market for CNG fueling. Despite much warmer than normal weather, we posted first quarter net economic earnings per share of $1.04. And we've remained squarely on target to achieve our full year range of $3.34 to $3.44 per share as we guided last quarter. With that I'll turn the call over to Steve.
Steve Rasche : Thanks, Suzanne. And good morning, everyone. Let me review our operating results for the quarter ended December 31, our first quarter with fiscal 2016 and review the outlook for the rest of the year. Starting on Slide 9, first quarter net economic earnings were $45.1 million, or $1.04 per share, down about 1% from $45.7 million, or $1.06 a year ago. Net economic earnings for the Gas Utility segment of $50 million were slightly higher than last year. And Gas Marketing saw its earnings decline approximately $700,000. Both results were impacted by the unseasonably warm weather and the current market dynamics of expanding gas supply and low price volatility and bases differential. These headwinds were almost completely offset by lower operating cost. With that as a backdrop let's walk down the income statement. Turning to Slide 10. Total operating revenues were $399 million, down 36% from last year with most of the dollar decline coming from the Gas Utility segment. Remember that operating revenues are a poor measure of performance for a Gas Utility since it reflects the past value of natural gas commodity cost. In fact, roughly half of the utility revenue declines from lower gas cost. And most of the rest from lower overall demand due to weather. A better measure of our top line performance is operating margin or earnings contribution after gas cost and gross receipt taxes. For the quarter, operating margin of $226 million was lower than prior year by 2% or $5.4 million. Looking at the components, Gas Utility margins of $220 million were down 3% or $5.7 million due to the unseasonably warm weather across our service territories. In fact, compared to our first quarter year ago degree days this year were down 32% overall with Missouri seeing year-over-year declines of approximately 28% and Alabama 49%. And while we have weather mitigation across our utilities the unseasonably warm weather did drive lower system volumes due to delayed connections for seasonal customers and lower overall demand. These margin headwinds were offset in part by first favorable movement of our quarterly Alagasco rate adjustment of $3 million. Secondly, a $2.6 million increase in the Infrastructure System Replacement Surcharge or ISRS for the Missouri Utilities tied to our infrastructure upgrades. And third, as Suzanne mentioned modest customer growth of just under 1% across our utilities during the quarter. Gas marketing generated an operating margins of $5.4 million compared to $5.1 million last year. However, if we remove the fair value and mark-to-market adjustments in both periods the margin was actually down by just over $1 million year-over-year reflecting the more difficult market conditions I mentioned a second ago. Weather cuts both ways though. While a pull down our operating margins a bit, it provided some benefit to our operating expenses. Gas Utility operating expenses decreased $5.5 million due to lower salaries and benefits driven in part by higher level of vacancies that we anticipate filling this quarter. These cost savings were partially offset by an increase in depreciation and amortization expenses of $1.5 million due to our higher capital spend over the last year. The other gas utility operating expenses namely commodities and taxes were also lowered due to reduced volumes and commodity prices. Similarly, Gas Marketing operating expenses show a decline of just over $50 million for the quarter as the benefit of higher volumes were unable to overcome the significant reductions in commodity cost and a higher level of trading activity. Interest income and income taxes were largely in line with last quarter with interest benefiting from a net reduction in debt over the last 12 months. The quality of earnings remains very high with cash flow from operating activities as shown here on slide 12 totaling nearly $34 million compared to a use of cash of roughly the same magnitude in the prior year. This change was driven by lower working capital requirements compared to last year due in part again to lower commodity cost and volumes. Partially offset by a decrease in collections under the purchase gas adjustment clause in Missouri. Cash earnings or EBITDA remain strong, it was up 1% to $122 million. A portion of that growing cash flow supports capital expenditures as shown here on slide 13; CapEx totaled just over $62 million, 4% higher than last year and reflective of the continued ramp up in infrastructure upgrades. We remain on track for a 2016 capital expenditure target of $315 million as well as at least $1.6 billion for the next five years. And we are on track for roughly two thirds of our full year capital spending being recovering rates with minimal regulatory lag. Additionally, new business capital, roughly 10% of our overall planned capital for the year is off to a strong start and by its nature will help grow margins as those customers come online. I'd also point out that our latest ISRS became effective December 1 with the Missouri Utilities now recovering in an annualized $26.3 million. And on Monday of this week we filed for an additional $8.6 million. These filings are subject to regulatory review which we expect to be completed later in this month. Another portion of our cash flow is devoted to our growing dividend which now stands at annualized rate of $1.96 per share, up 6.5% from last year. A current dividend yield is approximately 3.3% with a conservative payout ratio. Our quarter and balance sheet remains strong with solid long-term capitalization of 50.5% equity and 49.5% debt, an improvement of 40 basis points since last quarter. Similarly, our remains excellent and we have ample capacity on our credit facilities and commercial paper program midway through the winter heating season. Turning to Slide 16. As Suzanne noted at the outset, we remain comfortable with our fiscal 2016 net economic earnings guidance of $3.34 to $3.44 per share or 5% to 8% growth from last year. Our outlook assumes reasonably normally weather for the remainder of the winter heating season. And as I mentioned in the last quarter, the timing of earnings between quarters has been impacted by our overall weather with now roughly 5% of our total annual earnings shifting from the first half of the year into the back half with the fourth quarter a likely big beneficiary. And as I mentioned a few minutes ago our capital spend remains on track for our current year and five year targets. I'd also point out that these targets do not include potential supply pipeline investment. And once we finalize those details we will update our targets. And finally from a long-term perspective our view is not changed and we remain comfortable with our long-term earnings per share growth target range of 4% to 6%. So in summary, we are off to a solid start in 2016. We continue to effectively execute our plans including managing our cost and capital plans and strengthening our already solid financial position. Suzanne, let me turn it back over to you.
Suzanne Sitherwood : Thank you, Steve. Let me finish today's call with a few remarks and then we will open it up for questions. As I look back over the last four years, we've been on a journey most couldn't imagine. Building from a solid foundation we launched and then began working our strategic growth plan. Along the way we've symmetrically grown and improved our company for all stakeholders and customers. And expanded the customers that we serve. We've transformed the way in which we share our vision and plans with our investors in the same way we have transformed the way we engaged our employees, our regulators and our community. And the way we serve our customers. Today, we had another milestone on our continuing journey as we continue to deliver towards our financial target for the year. And unveil with the bit more clarity some of the opportunities that have come from our extensive review of our gas supply in Eastern Missouri. Our Board, leadership team and now 3,100 employees continue to transform our company. And we value your support and confidence as we continue that journey. As the year unfolds we expect to unveil additional initiative and more clarity on specific topics and project that will support growth now and into the future. Operator, we are now ready to take.
Operator: [Operator Instructions] The first question comes from Dan Eggers of Credit Suisse. Please go ahead.
Dan Eggers: Hey, good morning, everybody. Just on this pipeline update. Can you just maybe walk us through a little bit more details as to what's going to be the process for setting the open season? How you are going to seek out partners? And kind of when do you think we'll start that clock on the plus 32 to 36 months to develop?
Suzanne Sitherwood : Yes, Dan. Just a little bit of highlight here. And we were conducting our analysis and we've talked several times to you about that process. We ran a variety of scenarios what a transaction might look like in term of partner, percentages, all the different assumptions that you might imagine. Because we want to make sure this project result under any scenario and it is quite frankly. And so the next step is for us to do just way you asked to take these scenarios, make determination as to what's the best process and creating that partnership, making that announcement which immediately then goes to open season which is there in 30-36 months process. I'll tell you that our work is solid, our Board is informed and our team is ready to go. So I want to comment on that I would say on the next earnings call if you will.
Dan Eggers: Do you guys need a partner to do this project or is it something kind of given a fact it is servicing your territory Missouri, there is not say obviously benefit for other people to be involved.
Suzanne Sitherwood : Yes. It's a great question. When I mentioned we ran a variety of scenarios, we ran scenario with us having complete ownership and full capital investment to scenarios where we are a small part of the project and everything in between. And like I said the project works regardless of the scenario but that being said it is strong project and we obviously have the financial strength to support the project. So we want to really find out from the market who is interested and what that interest might look like before we make any determination.
Dan Eggers: I guess from dumb accounting perspective, would you guys reflect a AFUDC or CWIP in your numbers during this construction or is just going be no earnings contribution till un service just from work sits within corporate structure?
Steve Rasche : Hey, Dan. This is Steve. It would likely be the latter scenario with little if any impact our earnings until such time is the project would come online. There is obviously a little bit of work at the very, very front end that would fall through but that would be so immaterial is not to be of a concern.
Dan Eggers: So this could change the shape of the earnings growth a little bit if you had to carry the cost of the project but the end payoff is pretty significant.
Steve Rasche : Yes.
Suzanne Sitherwood : That's fair.
Dan Eggers: Okay. One another question just kind of with the weather you are being particularly mild in your city almost 60 degrees today which serve never guys are but yes kidding, how are you guys manage this quarter? Is the O&M savings you saw in the first quarter, can you replicate that in the second quarter and just remind us again little bit on the weather volumetric protection in the two states?
Suzanne Sitherwood : There is a couple of highlights then I'll turn it over Steve Lindsey but just as reminder the way that we manage the business if is colder than normal or warmer than normal those -- it is the range there, we have several levers and we operate the company relative to those levers. And in terms of being weather agnostic which is what you are getting to at the regulatory mechanism are. In Alabama, of course we have the RAC that progressive structure so it is agnostic within the RAC if you will. In Missouri, they are similar on the eastern side of the state as well as the western side of the state. It's a little bit more volumetric behavior in the early part of the season, in the latter part of the season but mostly in the colder months we are agnostic to weather. So but that being said from an O&M perspective and managing the company, Steve and his team actually do a great job.
Steve Lindsey: Sure. And this is Steve Lindsey. One of the things we are clearly able to do in that first quarter October to December with the warmer weather is increase our focus on our capital work, our infrastructure investments. And also put less of a strain on our system which has some additional over time requirements from an O&M perspective. And we are also able to increase our productivity time and actually pull some compliance work over in the year that we normally have schedule later because we are unable to do that during typical weather conditions. So I think this has given us a good opportunity to balance the entire year and put us in good position for the final three quarters of the year.
Steve Rasche : Yes. Dan I would add that we did a great job, we knew upfront it's been long chronicle that El Nino was likely going to impact the weather so we started the year strong to make sure that we got out of front of sub rate and I think you see in the benefit of that in our quarterly results. But only have to go back a few years I think its 2013 where the warm weather hit late in the heating season. And even in that year we were able to offset the loss margin with managing our O&M especially when you get to the summer months. So I think we stand confident that we should be able to manage within the rails for anything but it super outside that the norm of weather and I think we've proven we can do that in the past and we do that going forward.
Suzanne Sitherwood : And given the way that weather impacts our business this being our first quarter results we like the idea of having three quarters to go because the levers the Steve Lindsey talked about, those levers are how we manage the business. So there is nothing there that we don't know how to do and so we like the idea of having the three quarters remaining to continue to manage the company to get to our fiscal end results.
Operator: The next question comes from Selman Akyol of Stifel. Please go ahead with your question.
Selman Akyol: Thank you. Good morning. So first question just going back to the lateral, clearly it looks like you are running it through Illinois down to Missouri which would make it a FERC regulated pipe as opposed to just keeping it all in Missouri which would then been interstate pipe. So I guess from due to from regulatory aspects from that side, is there any I guess -- did you prefer FERC regulation from that standpoint?
Suzanne Sitherwood: It wasn't as much like we preference one way or the other. It's actually great question, Selman. It's more about the way that REX operates their pipeline. If you recall when REX is originally built, it was in bullet pipeline from the western side of the country to the eastern, northeastern market. Gas heading east because of the shale gas play in the northeast what happen is REX now operating directionally west to a certain node point, they've really rest in Illinois. So the idea would be to get that lateral around that node point from gas flowing from the east to west and then into the state. And as a result of running as to your point is running two phases. It's a factor for FERC regulated pipeline which is fine. We understand the process one would go through and the time that it takes to do that and so forth. But yes it would be FERC regulated pipeline for that reason.
Selman Akyol: All right. Thank you. And then on the Alagasco adjustments, it turned out to be smaller than you guys I guess were anticipating. Is there any commentary around that or additional details?
Steve Rasche : Yes. Selman, this is Steve. It's really the year-over-year adjustments. As you might recall RAC has quarterly adjustment mechanism that because we are chewing up rate real time based upon the cost run of the business and generally that is reduction in rate period on period. A year ago that adjustment was significantly greater meaning it was a much larger reduction than in the current year as we refine our budgeting and get closer to actual operating performance. So it's really a year-over-year benefit when we are looking at the variance year-on-year much more so than fundamental change in the way in which we get rates in Alabama.
Selman Akyol: Got you. And then other operating expenses were down, it sounded like from some of your commentary that maybe some of that was timing because you introduced some additional hiring here in I guess the second quarter and going forward. Is there any color on how much of that we should be expecting not to get back or --
Steve Rasche : Yes. It's there -- a part of it is vacancies and really a part of that was really tied towards the integration process for Alagasco which we completed right after the holidays this year. So we are now staffing up in the areas where we assess we need to add resources or to achieve our growth objectives. As you think about the rest of the year and you look at the four quarters with a run rate for O&M last year and we definitely have a seasonal nature to that with the fourth quarter being the lowest and first quarter being the lowest and the second quarter the one that we are physically are now being the highest. And if you look at that we would clearly expect our overall expenses to be little bit lower than they were last year on quarter-to-quarter basis. And I think they are going to refer more to that same pattern as we go forward to Q2, Q3 and Q4.
Operator: The next question comes from Sarah Akers of Wells Fargo. Please go ahead.
Sarah Akers: Hi, good morning. Just a couple of questions on the extension of bonus depreciation. First is there any impact on the Alagasco rate components under the RAC? And then second, what are the cash flow and balance sheet implication that you see for LG over the next few years?
Steve Rasche : This is Steve, Sarah. I will try to take that. No impact whatsoever on Alabama. Again it's real time rate making and we true up to our authorized ROE which we have been able to historically do. And we did again last year. So it doesn't really impact the rates in Alabama and frankly it doesn't really impact our rates or expectation in Missouri either. It does, bonus depreciation does have an impact in the ISRS filing, but I have to tell you that as we were planning for this year and planning out over the longer horizon, we took a view that some level of bonus depreciation was going to be available going forward so we stand pat on our expectations going forward. From balance sheet perspective, it is a good question because bonus depreciation does shelter a little bit more cash. So it does put a little bit less pressure on the need for us to tug on to our credit facilities are ultimately to go out in the market for long term debt to support our capital plan. But again I would call that a nuance rather than a sea change in how we think about the balance sheet going forward.
Sarah Akers: All right. Thanks and then can you comment on the gas ISRS related legislation that's pending in Missouri? If any sense as to the level of support in the state and when that might move forward?
Suzanne Sitherwood : Yes. We are actively obviously involved in that and in fact Steve was there yesterday so I'll pass it --
Steve Lindsey: Sure. Thanks for the question. There is actually two bills that are being heard yesterday in the senate commerce committee, there was bill on RSM which is revenue stabilization, you can think of that little bit like weather normalization and this is for water and gas in Missouri and then the one you are asking about which is we characterize as the rate case reduction bill. It is an essence to move the rate case requirement from 3 to 5 years in order to be able to continue to collect the ISRS component. That will be heard next week in the senate commerce committee so we still feel optimistic that the points we made actually in the last couple sessions are still in play and that we need to continue to push forward. There are 39 states that have this type of mechanism, only five required rate case requirement and of that only two have three years requirement. So we continue to think that we need to get little more modern with our mechanism here but again the ISRS has and really well for us, it's put a little bit play ground on our capital spend that Steve mentioned earlier. This year just in the first quarter year-over-year we are 25% higher in the ISRS spent. So while our capital plan is on track, actually year-over-year we are making great progress. So this mechanism will help us continue to do that in years going forward.
Suzanne Sitherwood : And Sarah obviously we can't predict political outcome but I can tell you that I was there last week for another matter because one of the boards that I serve on the region and I can tell you from the leadership perspective everyone was very well schooled on the various bills that Steve just went through. So it is topical.
Operator: Then next question comes from Joe Zhou of Avon Capital Advisors. Please go ahead.
Joe Zhou: Thank you. Good morning. Just a quick question on the merger acquisition front. You know that Empire District has reasons to be put themselves for sale, how do you like their assets and would it be good fit in LG's family? Thank you.
Suzanne Sitherwood : Thanks for the question Joe. We did hear little rumor that was debatable, as you know our process - -we are very strong in terms of the modeling side and sticking to our strategic initiatives and the way that we evaluate what's available and we look for various strategic levers in terms of how we can create value for our shareholders on the short term and the long term. And we've been very specific around the natural gas industry and I expect that's our focus at the moment. So I guess just sort of in the conversation there but we are very focused on our strategic levers mean model various acquisition opportunities and make a determination really again on the short term and long term whether that is value for our shareholders.
Operator: [Operator Instructions] The next question comes from Tim Winter of Gabelli and Company. Please go ahead.
Tim Winter: Good morning, Suzanne. I was wondering if you can just maybe follow up a little bit on Joe's question. Maybe not specifically to Empire but other consolidations going around, Duke, Piedmont, Southern and AGL and then we got Dominion, Questar this week. Do you see in any benefit for gas utility that the team up with an electric utility maybe as it relates to building a pipeline or what's driving these partnerships in your opinion?
Suzanne Sitherwood : Yes. I mean that's a great question Tim. The way we, me and my colleagues and I as we look at all these, consolidations has been going 10 to 15 years now in our industry. And clearly natural gas is now stronger part of the conversation especially when you think about power generation in Midcontinent and south east. So these transactions haven't surprised me at all because they provide access to some of these supply basins as well as pipeline capacity. And so they make sense for those companies. For us the way you ask the reverse question would a gas company be interested in electric. And you asked specifically to a pipeline project and they are certainly could be some synergies with the gas company and electric company in terms of building pipeline infrastructure if that electric company needs access to gas supply to replace the coal fire facility for example. And that's a good example where electric and gas and come together and create, both create value. So things happens so but from a gas company perspective and the Laclede gas specifically we are very confident in our plan and consolidation over the last 15 years, we've been acquirer as you know. So we've been a part of that consolidation. Tim, we are confident in our plan, even our announcement of this morning of the pipeline project I think validates the original strategies that we've laid out. And so we just continue to work to execute and create value and evaluate what's in the market and continue to evaluate against high portfolios that we are currently managing. And also continue to make sure that we got our eye on our customers in terms of organic growth probably new gas companies, managing cost, doing the things that you expect us to do right as well as the regulator.
Operator: [Operator Instructions] This concludes our question-and-answer session. I'd like to turn the conference back over to Scott Dudley for any closing remarks.
Scott Dudley: Well, thank you everyone for spending some time with us today. We'll be around and available throughout the day if you have any follow ups. Look forward to catching up with you then. Thanks so much. Bye, bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.